Operator: Greetings and welcome to the Greif, Inc. third quarter earnings conference call. (Operator Instructions) It is now my pleasure to introduce your host, Deb Strohmaier of Greif, Inc., Vice President of Communications. Thank you. You may begin.
Deb Strohmaier: Thank you, Diego. Good morning. As a reminder, you may follow this presentation on the web at Greif.com in the Investor Center under Conference Call. If you don't already have the earnings release, it is also available on the website. We are on Slide 2. The information provided during this morning's call contains forward-looking statements. Actual results or outcomes may differ materially from those that may be expressed or implied. Some factors that could cause the results or outcomes to differ are on Slide 2 of this presentation, in the company's 2008 Form 10-K and in other company SEC filings as well as company earnings news releases. As noted on Slide 3, this presentation uses certain non-GAAP financial measures, including those that exclude special items such as restructuring charges and timberland disposals. Management believes the non-GAAP measures provide a better indication of operational performance and a more stable platform on which to compare the historical performance of the company than the most nearly equivalent GAAP data. All non-GAAP data in the presentation are indicated by footnotes. Tables showing the reconciliation between GAAP and non-GAAP measures are available at the end of this presentation and in the third quarter 2009 earnings release. I will now turn the call over to Chairman and CEO Mike Gasser.
Mike Gasser: Thank you, Deb. Good morning, everyone, and thank you for joining our conference call today. If you are following this presentation on the web, we are on Slide 4. The global economic downturn that became apparent last fall and the contingency plans that we have implemented this year to mitigate its effects continues to impact our results for the third quarter. Despite lower sales volumes year-over-year, we are encouraged by the sequential improvement in sales volume and stronger operating results. We reported sequential volume improvements in all regions, particularly in EMEA. Europe represents the largest portion of this region's business, and we continue to observe signs of improvement there. While the market response is not yet uniform, we are encouraged by the sequential increase in sales volume and cost savings realized thus far in fiscal 2009. Also, Asia-Pacific is rapidly recovering, with sales volume higher than last year by nearly 10%. As discussed last quarter, we are also executing disciplined growth plans. These include further consolidating the industry, filling in white spaces and evaluating industry adjacencies. We will remain close to our core. During the third quarter we completed two tuck-in acquisitions, one in North America and one in China. We are pursuing several opportunities to increase our product portfolio and global footprint. Our strong balance sheet plus increased financial capacity and flexibility reinforce these efforts. Accelerated Greif Business System initiatives and contingency actions we implemented are delivering impact above targeted levels. One result is our operating profit margin, which expanded to 11% for 10%. Now, Slide 5. Throughout the third quarter formal GBS reviews were conducted in much of Europe. I attended reviews of many of our operations in Houston. From reports I received and through personal observation, I am confident that we still have exciting opportunities for savings and for growth in our operations around the world. With our lower cost structure and improved operating leverage, solid capital structure, financial and operational flexibility, we are positioned to fully participate in any level of global recovery. Executive Vice President and Chief Financial Officer Don Huml will now provide you with an update of our financial results.
Don Huml: Thank you, Mike. Good morning, everyone. Please go to Slide 6. We are encouraged by our third quarter accomplishments, the 16% sequential improvement in sales volumes and the recent further uptick in activity levels during July and continuing into August. Net sales for the quarter decreased 31% or 24% excluding the impact of foreign currency translation to $718 million. The constant currency decline resulted from 18% lower sales volumes and 6% lower selling prices due to the pass-through of lower raw material costs. Our gross profit margin has improved compared to the same quarter last year due to the Greif Business System initiatives and contingency actions as well as lower raw material costs. The initial plan for $100 million in annual savings was expanded to $150 million during the quarter. Approximately 80% of these savings are expected to be permanent. Operating profit before special items was $81 million for the quarter, a decline of 25% or less than the 31% delta in net sales. This decrease was due to lower net sales in Industrial Packaging and Paper Packaging, which were partially offset by gross profit margin expansion and lower SG&A expenses. The company's effective tax rate was 23.6% during the quarter compared to 23.3% for the same period last year. The decline from the second quarter was due to a favorable earnings mix shift and, to a lesser extent, alternative fuel mixture credits of $3.5 million. Diluted earnings per share before special items were $0.88 compared to $1.18 per Class A share for the third quarter of 2009 and 2008, respectively. These results are in line with our full year expectations. On Slide 7, Industrial Packaging net sales decreased 30% or 22% excluding the impact of foreign currency translation to $594 million. As mentioned earlier, lower sales for Industrial Packaging were partially offset by cost reductions, including accelerated Greif Business System initiatives and contingency actions. Operating profit before special items decreased to $69 million in the quarter from $93 million last year. The decrease as due to lower sales partially offset by lower raw material, labor, transportation and energy costs. Now on Slide 8, Paper Packaging net sales were $120 million compared to $178 million last year. This quarter-over-quarter decrease was primarily due to lower sales volumes and lower containerboard selling prices. Operating profit before special items decreased to $8 million in the quarter from $13 million last year primarily due to lower net sales and containerboard pricing partially offset by raw material costs, especially for OCC, and labor, transportation and energy costs. On Slide 9, Timber operating profit improved by $2.3 million as a result of a special use property sale in the quarter. Timber continues to perform as planned. On Slide 10, we were pleased with the successful $250 million aggregate principal amount of 7.75% 10-year senior notes issued at the end of the third quarter. This issue was oversubscribed by 2.5 times. The net proceeds from the issuance of the new notes are to be used for general corporate purposes. Now on Slide 11, capital expenditures excluding timberland purchases were $28 million for the quarter compared with $38 million last year. Fiscal 2009 capital expenditures are expected to be in the range of $95 to $100 million, which we anticipate to be below depreciation, depletion and amortization expense for the year. This increase from previous estimates includes additional expansion capital for Asia. We have implemented significant cost reduction plans during 2009 to mitigate the impact of lower volumes attributable to the global economic recession. We have achieved positive contributions during the first nine months of fiscal 2009 and we expect to realize substantial cost savings during the fourth quarter. Further, cyclical improvement in sales volumes are also expected during this period. Based on these factors, our fiscal 2009 earnings guidance is in the range of $3.25 to $3.50 per Class A share. That concludes my remarks and you should now go to Slide 11. Mike and I will be pleased to answer your questions.
Operator: Thank you. (Operator Instructions) Your first question comes from Ryan Maclean - Janney, Montgomery, Scott LLC.
Ryan Maclean - Janney, Montgomery, Scott LLC: Mike, can you just spend some time and give a run through of the state of the different end markets that you guys sell into for Industrial Packaging, please?
Mike Gasser: The end markets, we talked about this in the past, Ryan. You know, it's really broken out a third, a third, a third. A third would be in the food business, a third would be in the special chemical business, and a third would be in the lube business. And as we've looked at those, the food business has been fairly stable and actually quite good this year because our food drum business, both in Europe and the United States, is very strong right now, actually stronger this year than even last year, so that's been good. The lube business has been down - it's been down in the single-digit range - but we're seeing some improvement there. And the big end market that has been down has been the special chemical business; as we've mentioned in previous calls, that's been the one we had the greatest decrease. And we're starting to see some light there. As we look at volumes through the quarter and continuing into the fourth quarter, we're seeing volumes improve in all those regions.
Ryan Maclean - Janney, Montgomery, Scott LLC: Also can you describe in a little bit more detail, I saw in the press release you were talking acquisitions and you briefly mentioned them in your remarks, but just what they bring to Greif overall and in terms of [inaudible], geographies, etc.
Mike Gasser: The one is in North America. It's in the Florida region. And it's really we'd bring in the big customers there, the food - citrus crops region - so that gives us a stable substrate down there, a small tuck-in acquisition. And the second we announced was in China and that is a great consolidation play, a couple plants. We have become pretty good at doing these consolidations. So same customer base and it would be a consolidation play. I should mention, Ryan, that both of those are under $25 million purchase price. So they're not large, but they're good tuck-in type acquisitions.
Ryan Maclean - Janney, Montgomery, Scott LLC: And finally, in the press release you called out the sales of special use property. I'm just wondering how many acres were sold or, if you want to give it to me, how many acres you have left sitting on Greif's balance sheet?
Mike Gasser: The number of acres we sold was 4,500 and we have probably around 25,000 to 30,000 is what we have left.
Operator: Your next question comes from Jason Brown - Keybanc Capital Markets.
Jason Brown - Keybanc Capital Markets: I guess I'm trying to reconcile your commentary that you're seeing gradual improvement in volumes versus I think you were down 16% to 18% on the Industrial side in the second quarter and down 18% this quarter. I guess I would have thought that meant improving year-over-year trajectory, so maybe you could help me with that a little bit, the discrepancy there.
Mike Gasser: Yes. And I'm going to give you some. Jason, I think the best way to do this is probably go a little bit more granular from a [inaudible] standpoint than we've done in the past because we're definitely seeing volume improvement. In your reconciliation, historically the third quarter is better so volumes are better normally because of seasonality. And what I want to do, Jason, because I think it's a very good question, is that I want to take the four main regions - which would be Europe, Asia, North America and Latin America - and I'm going to make four comparisons for you. And so maybe this will help. I'm going to compare first of all third quarter this year to third quarter last year, so this would be year-over-year on a quarter basis - in Europe we were down 10% to 15%; Asia, up 10%; North America down 15% to 20%, and Latin America down 15% to 20%. Then the next comparison I want to do is compare this quarter, third quarter, to our second quarter, so to show you the sequential change that we've had. And so Europe was up 25%; Asia was up 15% to 20%; North America was up 15% to 20%, and Latin America was up just a little under 5%. And Latin America recovery is later; they're later going down and they're later coming back. And then the granular; what I want to do is give you a month-to-month comparison because I think this will help you see what we're seeing. So I'm going to compare July to June, the last two months of our quarter, the third quarter. So Europe, July was 10% to 15% better than June; Asia was 10% to 15% better, July than June; and North America and Latin America, June and July were fairly stable because they had recovery early in the month. And then the last comparison I'm going to give you - and this is really current news - is comparing August to July. So we're starting our fourth quarter now, so what we're seeing in August. And at a very high level we're seeing both Europe, Asia and North America up mid single digits over July, and Latin America is up low double digits. So the Latin America recovery is coming later, but it is coming. So we're seeing improvement around the globe sequentially. So I hope that will help you, give a little more granularity into what we're seeing from a volume standpoint.
Jason Brown - Keybanc Capital Markets: So you would say the sequential improvement that you're seeing in every region is equal to or greater than the normal seasonal improvement you would see in this timeframe.
Mike Gasser: Yes.
Jason Brown - Keybanc Capital Markets: And then if I can jump to the Paper Packaging side, since you divested those box plants at the end of last year, we've seen the first couple quarters where you probably had an abnormally high spread for raw materials, and then this quarter, where there was a pretty good decline. Would you characterize most of that decline from OCC coming up or was it a further deterioration in volumes? And then also, what would you consider kind of a normalized? Is it more indicative of what we saw in the third quarter or the first half?
Mike Gasser: You hit on a couple of key points there, Jason. I think when we look at the Paper Packaging segment and you see where the sales are down and the profits down 30% to 35% quarter-over-quarter this year to last year, when we break it down into a little bit more granular, the mills' sales down are about the same, but the profit's only down 15% to 20%. So we're doing a good job in the mills and they really are overcoming the higher OCC costs. And you're right. We're primarily OCC based and OCC has gone up $20 during the quarter. Our biggest problem that we have, our biggest challenge we have, is the downstream pressure. We have a structural change. We last year closed three out of our seven box plants, which you have referred to. During the year, the economy being soft, we sold a lot of sheets to integrated mills. They have taken those back into their own system now, so we've lost some volume there. And then finally there's a lot of competitive pressures today because mills are incented to run. And that will end soon, so we think those pressures will go away. But add those three things up, that's causing the situation. I would tell you one thing I've learned about the paper business, there is no normal because paper prices have either gone up or gone down and costs have gone up or down. I would believe that this quarter isn't as indicative because of all the pressures I've told you about. And the first six months were fairly strong, so it's probably some combination in between depending on what your assumption would be for prices and costs as we go forward.
Jason Brown - Keybanc Capital Markets: The only last question is your free cash flow expectations for the year. I think you were at around $250 million if I remember right before, and I'm just wondering if you could give us an update on that.
Don Huml: Yes. That is really quite consistent, with the exception that we have increased our restructuring activities when we stepped up for the additional $50 million in savings. And we have also approved some additional expansion capital for Asia, and that really is based on what Mike was referring to, that very meaningful improvement in volumes where we're really now at the peak levels that were set last year. If we look at our cash flow, I would say after adjusting for those items we're still in that $200 million range.
Operator: Your next question comes from Mark Wilde - Deutsche Bank Securities.
Mark Wilde - Deutsche Bank Securities: I wonder, Don, if we can - just a nit here at the start - can you just recap for us what you said kind of volume and price did on a year-over-year basis? I think you said volume down 16% or 18% across the business mix?
Don Huml: Yes. It was down 18% on a year-over-year basis, Mark, and it was improved 16% sequentially.
Mark Wilde - Deutsche Bank Securities: And the price affect kind of across the portfolio?
Don Huml: That was down 6%. And one of the things that's interesting, Mike had mentioned the more recent sequential improvement between June and July. If you look at the run rate, basically we're at about 10% below the prior year in July. And also, when you look at the price change June to July, we were down 1%. So it basically indicates that we're reaching an inflection point. We're now going to see really a reversal of that trend where now pricing should be positive. Also, currency was actually positive by 2 points second quarter to third quarter. So some of those headwinds on the top line are reversing.
Mark Wilde - Deutsche Bank Securities: And then can you just refresh for us, the black liquor credits that you said you got in this quarter and then can you kind of compare that with kind of prior quarters?
Don Huml: This is really the first quarter that we have really included those within our effective tax rate calculation, and so that is basically what the expectation would be for the fiscal year.
Mark Wilde - Deutsche Bank Securities: And the total for this quarter, was it $3.5 million?
Don Huml: Exactly. That would be basically the total anticipated for our fiscal year. And again, we're taking it as a credit, Mark, and so we're factoring it into our estimated effective tax rate.
Mark Wilde - Deutsche Bank Securities: And then you did drop the high end of the guidance range by about $0.25 and I just wondered, you know, in light of the fact that you've stepped up your cost takeout goals for this year sort of where the deltas came in your view?
Mike Gasser: Mark, that's absolutely right. Don has a bridge - I think we're going to go over it - but really, before we get to the bridge, the main reason we dropped that down is that the volume increase came a little bit later than we thought it would. Don mentioned, you know, we thought we'd be at that 10%, but we thought it would really be at the beginning of the quarter versus the end of the quarter. So the good news, it got where we thought it would be; it didn't hit when we did, so if you factor that two months in there that would get you close to the upper end of that range if everything worked out. So that was the main reason, but do you want to go over the -
Don Huml: No. I mean, that really explained it. We had two components to the expected uptick in volumes - one was seasonal and one cyclical. The seasonal materialized; the cyclical really didn't until the very end of the quarter.
Mark Wilde - Deutsche Bank Securities: And then, you know, that $150 million is a huge number relative to your sales base and it's also quite impressive given what you've been doing for the last several years. Is it possible to give us a little better sense of different buckets that that $150 million might be coming out of?
Don Huml: Yes. I would say that about two-thirds of that would really be the contingency actions that were undertaken. And that would be really supplemental to the Greif Business System, which really through those productivity improvement initiatives would normally contribute in that $40 to $50 million range. So the contingency actions have really been critical and those have really involved about equal parts of SG&A reduction - we've had some de-layering within the organization. We also have had the wage freeze along with a hiring freeze, and we've taken other cost containment actions in the area of benefits. We've frozen our pension plan and really have tried to cover all of the bases in addition to stopping discretionary spending. The other half is really more the portfolio optimization where we have closed on a year-to-date basis 16 facilities and we've also eliminated nearly 2,200 positions.
Mike Gasser: And, Mark, one thing that we were very disciplined about is in all the actions that we've talked about and all the actions that we've done - which are quite a lot - we've made sure that they were non-regret moves because we really wanted to be and we believe we're adequately positioned than when the recovery comes that we can participate fully. So there's no regret moves here. In the beginning of the year in December in what seems like a long time ago now, when we had our first conference call to kick off this year, I had said - because we'd just started to see the beginning of this recession - that I really felt that we would exit this recession in better shape than when we went into it, and I'm absolutely convinced that that's the case today. Our cost structure is much better, there's a greater number of opportunities for us today, and our team is actually working better. So we're quite excited about 2010 and beyond. We've just got to make it 57 more days in our fiscal year to get through 2009 and go forward.
Mark Wilde - Deutsche Bank Securities: In the Paper business, are you selling much just roll stock into the market? And to the extent that you are can you just talk about price trends in the open market for containerboard over the last few months?
Mike Gasser: We are selling some, yes. We do have customers on the outside other than Greif and prices are stabilizing. Over the last 30 to 60 days we're not seeing big pressures there right now, Mark. I think that we are going, as you know, very well - a seasonally strong period of time right now. Our volumes are off, as we have said, in the Paper business, but we're not running into tremendous competitive price pressures right now.
Mark Wilde - Deutsche Bank Securities: And then the other thing, I wondered, Mike, if you can just talk at all about the acquisition market right now?
Mike Gasser: Yes. We have a lot going on. I thought that maybe that question would come up so I wrote some notes down here. Let me give you some clarity a little bit. We have 11 opportunities we're actively working on right now. We have a funnel system, Mark, and we started with 30 some and we've narrowed it down. So we're down to 11 that we're working on. And I would say about a third of them are consolidation plays, which is what we've done in the past for the industries, a third are product line extensions, and then a third are close adjacencies to our business. In aggregate, if we would do all these acquisitions - and you never know which ones you're going to do - the total purchase price would be less than $500 million for all of them. The sales for these companies would be greater to significantly greater than the purchase price, to give you a degree of the sales. And then all the opportunities are regionally disbursed; by that I mean they're around the world. So they're not just in one region or part of the world. They're all over the world across all products. So we feel confident that we would have the infrastructure to do these and confident that we would have the ability to integrate those if they materialize. So hopefully that gives you some idea of what we're looking at.
Mark Wilde - Deutsche Bank Securities: I'm just kind of curious about valuation and what the last 12 months have done to valuation.
Mike Gasser: It's had an affect. We have been and we'll continue to be very disciplined buyers, and we still would be looking in the 5 to 7 times range. We're obviously going to try to get them lower than that if we can and some of these will be lower than that because of just the industries that they're in. But valuations have dropped and so it'll be in those ranges. I think that would be the average if you look at the 5 to 7.
Operator: Your next question comes from Steven Chercover - D. A. Davidson & Co.
Steven Chercover - D. A. Davidson & Co.: My question was also along the line of Mark's. I was kind of wondering if you could put into percentage terms the probability that we'd see a deal worth north of $100 million. Are some of these 11 prospects substantially larger than others?
Mike Gasser: They're definitely a different size. We don't want to break them out right now. The best thing to say is in aggregate they're under $500 million, Steve. And there's 11 of them, so the math would show you about what the average would be, but some are definitely bigger than others at the end.
Steven Chercover - D. A. Davidson & Co.: And having kind of winnowed down the opportunity set from 30 to 11, are all of these a high probability that they'll be consummated and they're all deals that you'd be delighted to have within the Greif family?
Mike Gasser: Yes. The second part of the question first, absolutely. We're working on all of those. And we have various stages of letters of intent already signed on some of these to starting some due diligence to negotiating letters of intent, so we are actively working on all 11 of those. A lot of things happen when you do deals. It's a negotiating process. We have to be very disciplined as we do the due diligence to make sure there's no surprises. We've done a lot of these over the last four years and so we hopefully have our antennas up to know what we should be looking for and what are pitfalls. We would say these 11 are deals that we want to do for the right terms and conditions and are actively working to try to consummate them.
Steven Chercover - D. A. Davidson & Co.: And it's safe to say that none of these are turnaround situations?
Mike Gasser: We can't do turnarounds; we're not very good at that. We know our skill set, and that's not something we're trying to find.
Steven Chercover - D. A. Davidson & Co.: And just I'm not sure if I heard Don properly. Did you say $100 million CapEx for 2010?
Don Huml: Basically the guidance for 2009, Steve, is $95 to $100 million.
Operator: Your next question comes from Walter Liptak - Barrington Research.
Walter Liptak - Barrington Research: The first quarter I had is on the guidance of $3.25 to $3.50. I wonder if you could provide us with the volume and price assumption that goes into that.
Don Huml: Well, what we basically set out on our last call for the bridge was a 10% improvement seasonal and cyclically. And so what we're basically looking at for Q3 to Q4 is a further increase of 10% and it's really that improved volume coupled with the cost reduction activities that would allow us to deliver to guidance.
Walter Liptak - Barrington Research: Okay, so you're looking for a revenue level, you know, of $790 million, somewhere around in that range?
Don Huml: Well, we really don't forecast revenue. And as we've discussed previously, it's very difficult to do. And it's for a good reason because we do have pass-through mechanisms and so you almost have to be able to forecast commodity costs in order to develop a sales forecast. I would encourage you to really focus more on the operating profit and EPS.
Walter Liptak - Barrington Research: What about the - I'm sorry; I may have missed this - the tax rate for the fourth quarter? What would be a good one to use?
Don Huml: In the 26% range.
Walter Liptak - Barrington Research: And then during the quarter, have you quantified the or can you quantify for us the amount, the dollar amount, of cost savings during the quarter in either cost of goods sold or at the SG&A line?
Don Huml: For the third quarter?
Walter Liptak - Barrington Research: Yes, for the third quarter.
Don Huml: Yes. We've calculated that impact to be in the $60 million range.
Walter Liptak - Barrington Research: And what does the impact look like for the fourth quarter?
Don Huml: It would be, we're anticipating, in the $40 million range.
Walter Liptak - Barrington Research: And for the third quarter number, the gross margin looked very good this quarter despite the lower volumes and I presume that part of that's related to the cost takeout. Is that right?
Don Huml: That is correct.
Walter Liptak - Barrington Research: Can we expect we would see a similar phenomenon in the next quarter?
Don Huml: Yes. And as you know, we tend to experience margin expansion, particularly with our core product line of steel drums, during a rising cost environment, and that's really what we would expect for the remainder of this year. Really, as an indication of the economic recovery, the market for steel is very tight - extremely tight. The lead times have gone from two to four weeks to really eight to 10 weeks, and there are shortages as the industry really kind of re-starts its blast furnaces. And so we do expect rising prices that does create an opportunity for some margin expansion.
Walter Liptak - Barrington Research: And then lastly, if I could ask about some balance sheet items - accounts receivable, payable and inventory?
Don Huml: Yes. I think we've done a reasonably good job. In fact, quite frankly, right now I wish we had more inventories. But we have seen a contraction in the days sales outstanding of receivables of about 3 days and in a very difficult economic environment that is challenging, so I think our team has done a good job of closely monitoring the receivables exposure. Inventories are down 4 days and, once again, that is something that we'll continue just based on limited availability of key raw materials, particularly steel. And payables, that is now becoming more of a source of funds as activity levels increase and as we resume our procurement activities.
Operator: Your next question comes from James Daly - Deutsche Bank.
James Daly - Deutsche Bank: Just real quick, backtracking a little bit on you on the volume front, I believe you said you're expecting a 10% sequential improvement Q3 to Q4, and you gave us some good breakdown before of August. Can you give us an idea of how August '09 is looking versus August '08 and what that 10% improvement equates to on a year-over-year basis?
Mike Gasser: Other than just characterizing what we have observed during the first month of our fiscal fourth quarter, it's going to really be difficult to get any more granular than that.
Operator: Your next question comes from Mark Wilde - Deutsche Bank Securities.
Mark Wilde - Deutsche Bank Securities: Just a couple of kind of macro questions. There's been a lot of concern, first of all, out of Asia about just how much of the commodity strength is coming from just inventory rebuilding. Mike, I wonder, just given the nature of your business in China and across Asia, do you have a view on how much inventory building is going on versus how much of this is just fundamental more throughput in the economy?
Mike Gasser: You know, Mark, I don't have great visibility into that. I would tell you that our view of the Asian economy, especially the China economy, is it's quite robust right now. They put in a stimulus package that's really working in China to encourage people to buy household goods and cars and appliances, so the masses are spending money. The phenomena that has happened, a year and a half ago our business in China was primarily export business - China was making products that were being exported around the world. Today a lot of the business we have is staying within China, so they're consuming a lot more right now. So I would think that it's probably demand driven based upon that, Mark, versus inventory build, but I really don't have good data to be able to emphatically say that's the case.
Mark Wilde - Deutsche Bank Securities: What's your mix in China look like, Mike, relative to that a third, a third and a third that you gave us for the overall global mix?
Mike Gasser: We don't have hardly any food business, so it would be more in the lube, special chemical. And our food, if we have some, it's very small, so it wouldn't be the third, so it'd probably be more 50/50 than what we'd have around the world.
Don Huml: And in fact, Mark, I think that's a good point because right now we are primarily a steel drum producer; we produce intermediate and large steel drums, but one of the reasons for the stepped-up capital spending is to broaden our product offering to include fiber drums, which would position us to serve the agricultural market, and plastic drums. So we're going to have a much broader product offering and participation within the country.
Mark Wilde - Deutsche Bank Securities: And then just the other sort of macro indicator that I tend to watch is this ISM index for manufacturing which, you know, was up pretty significantly again last month. How important is that to you in sort of using it perhaps as a forward indicator for your business mix?
Mike Gasser: Yes, we're very excited when we saw that data also - were thrilled to see it finally go above 50 again - so there's some optimism out there. We have tried very hard to find forward-looking indices that would be a predictor of drum business and there is none that we can find. There's a lot of them that we look at. We also look at trucking rates. We look at a lot of different indices to try to get a feel where the economy's going. So it's not used any more than any other one that we use, Mark, but we're always thrilled when they become positive like it was last month.
Operator: Your next question comes from Bob Franklin - Prudential Financial.
Bob Franklin: Do you happen to have your cash flow from operations?
Prudential Financial: Do you happen to have your cash flow from operations?
Don Huml: The cash flow from operations, that will be in our 10-Q, but to give you a preview, that would be in the $115 million range.
Bob Franklin: That's for the quarter?
Prudential Financial: That's for the quarter?
Don Huml: That's for the third quarter.
Bob Franklin: When do you expect to file your Q?
Prudential Financial: When do you expect to file your Q?
Don Huml: On Friday.
Bob Franklin: Like tomorrow?
Prudential Financial: Like tomorrow?
Don Huml: Yes.
Operator: (Operator Instructions) Your next question comes from Tim Burns - Cranial Capital.
Tim Burns - Cranial Capital: Just a quick question for you. The contingency actions have obviously really helped your cost structure, but I guess it's probably not realistic to think that's something you can do every year; that's kind of every recession type of thing?
Don Huml: No, I would say that there is clearly a non-sustainable component. The one thing that we have acknowledged is that of the $150 million in cost reductions that about 80% of that would be expected to be permanent. We have other items like the wage freeze, discontinuing the 401(k) match, and the hard stop on discretionary spending that, once the recovery progresses to a certain point, those will be relaxed.
Tim Burns - Cranial Capital: Mark kind of ran down the road a little bit with this one and this is one thing that I wonder about how you guys think - as you're sculpting the growth and the portfolio of the company, I guess you've really got four tenets, right? You've got the end markets you're in today; you've got geography, either to build further or to grow into new; and you've got this M&A program, which I'm a big fan of, and then you've got your decision-making process. Is it as simple as hey, we need more food? We need more plastic in China? We need more presence in Mexico? Is your adjacency and general M&A program aimed at that but really you settle for I guess what becomes available? Let's face it, life is kind of luck. Is it thought about that way? Do you really want to dilute steel drums sold to specialty chemicals given our profitable they are? I think that's the core of my question. Do you modify the portfolio in a recession to broader coverage but potentially lower returns? I don't know the question. I'm just kind of asking.
Mike Gasser: Yes, Tim, it's a very interesting question. I know one of the strengths of Greif has been and will continue to be in the future is diversity. That's why we're in 48 countries. So geographic diversity is very important and it's proved extremely important during this recession because China came out early and is doing well. So we'll continue to look at capitalizing on our infrastructure because that's something that's very difficult if not impossible for someone to replicate today. And another diversity strength we have is product diversity. We really don't dictate the product that the customer uses; the customer does. And so we will try to solve the needs of the customer, giving them the product they want. So we expect to expand our product offerings, which we would call white spaces, in regions that we don't have certain products. If customers want those products, we would expand it. And then the third diversity we have is diversity of customers. That has proved to be very successful to us. And we talked about a third, a third and a third, and food in this time has been much more recession proof. We'll look at other end markets to see if expanding that end market will help us, too. So I think the crux of the whole thing is that we capitalize on our diversity theme, both geographic, product and end markets, to see what's the best growth vehicle for us.
Operator: And ladies and gentlemen, there are no further questions at this time. I would now like to turn the floor back to Deb Strohmaier for closing comments. Thank you.
Deb Strohmaier: Thanks, Diego, and thank you all again for joining us this morning. A digital replay of the conference call will be available in approximately one hour on the company's website at www.Greif.com. Once again, thank you and we appreciate your joining us.
Operator: Ladies and gentlemen, this concludes today's teleconference. All parties may disconnect now.